Operator: Good morning, ladies and gentlemen, and welcome to the Napco Security Technologies Fiscal Q3 2024 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on May 6, 2024. I would now like to turn the conference over to Francis Okoniewski, VP, Investor Relations. Please go ahead.
Francis Okoniewski : Thank you, Jonah. And good morning, everyone. My name is Francis Okoniewski. I'm Vice President of Investor Relations for Napco Security Technologies. Thank you all for joining today's conference call to discuss financial results for our fiscal third quarter 2024. By now all of you should have had the opportunity to review our earnings press release, discussing our quarterly results. If not, a copy of the release is available in the investor relations section of our website, www.napcosecurity.com. On the call today are Dick Soloway, our Chairman and CEO of Napco Security Technologies, and Kevin Buchel, President, Chief Operating Officer, and Chief Financial Officer. Before we begin, let me take a moment to read the forward-looking statement as this presentation contains forward-looking statements that are based on current expectations, estimates, forecasts, and projections of future performance based on management's judgment, beliefs, current trends, and anticipated product performance. These forward-looking statements include, without limitation, statements relating to growth drivers of the company's business, such as school security products, recurring revenue services, potential market opportunities, the benefits of our recurring revenue products to customers and dealers, our ability to control expenses and costs, and expected annual run rate for our recurring monthly revenue. Forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These factors include, but are not limited to, such risk factors described in our SEC filings, including our annual report on Form 10-K. Other unknown or unpredictable factors or underlying assumptions subsequently proving to be incorrect could cause actual results to differ materially from those in the forward-looking statements. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, level of activity, performance, or achievements. You should not place undue reliance on these forward-looking statements. All information provided in today's press release and this conference call are as of today's date unless otherwise stated. And we undertake no duty to update such information except as required under applicable law. I'll turn the call over to Dick in a moment, but before I do, I want to mention we're actively planning our Investor Relations calendar for more non-deal roadshow, or NDR, and conference attendance in the near future. Investor outreach is very important to Napco, and I'd like to thank all those folks that assist us in these types of events. Later this month, we will be attending Needham's 19th Annual Tech, Media, and Consumer conference in New York City. The Bank of America Industrial Conference, also in New York City. The 24th Annual B. Riley Institutional Investor Conference in Beverly Hills, California. The Craig-Hallum 21st Annual Institutional Investment Conference in Minneapolis, and TD Cowen's 52nd Annual Technology, Media, and Telecom Conference in New York City. We've also been invited to the Robert W. Baird Consumer Tech and Services Conference this June in New York City, as well as the Wells Fargo Industrial Conference in Chicago. We're also thrilled to have D.A. Davidson added to our prestigious list of brokerage firms providing research coverage on our company. With that out of the way, let me turn the call over to Dick Soloway, Chairman and CEO of Napco Security Technologies. Dick, the floor is yours.
Richard L. Soloway: Thank you, Fran. Good morning, everyone, and welcome to our conference call. We appreciate your participation today as we review our fiscal Q3 2024 performance. We are thrilled to announce record sales of $49.3 million for this quarter, marking our 14th consecutive quarter of achieving record sales. Our recurring revenue subscription service continues to exhibit robust growth, with an annual prospective run rate reaching $81 million based on April 2024 recurring revenues. The balance sheet remains strong with cash balances reaching $87.5 million, a 31% increase over the level recorded on June 30, 2023. We have no debt. Our strategic focus continues to capitalize on key industry trends, including wireless fire and intrusion alarms, driving recurring revenue services, school security solutions, enterprise access control systems, and architectural locking products. At Napco, our management team remains committed to prioritizing growth, profitability, and returns on equity while effectively managing costs. These metrics are critical to us and our shareholders, reflecting our dedication to executing our business strategy and aligning our interests with those of our shareholders. Now I'd like to hand the call over to our newly appointed President, Chief Operating Officer and Chief Financial Officer Kevin Buchel, who will provide an overview of our fiscal third quarter results. Following Kevin's remarks, I will return to delve deeper into our strategies and market outlook. Kevin?
Kevin S. Buchel : Thank you, Dick, and good morning, everybody. Net sales for the three months ended March 31, 2024, increased 13% to a quarterly record $49.2 million, and that compares to $43.5 million for the same period a year ago. And net sales for the nine months ended March 31, 2024, increased 10% to a nine month record $138.5 million, as compared to $125.3 million for the same period a year ago. Recurring monthly service revenue continued its strong growth, increasing 29% in Q3 to $19.5 million as compared to $15.1 million for the same period last year. And recurring monthly service revenue for the nine months ended March 31, 2024, increased 26% to $55.4 million as compared to $43.8 million last year. And our recurring service revenues now have a prospective annual run rate of approximately $81 million based on April 2024 recurring revenues. And that compares to $76.5 million, which is based on January 2024 recurring service revenues, which we’ve reported back in February. Equipment sales for the quarter increased 5% to $29.7 million, as compared to $28 million last year. Equipment sales for the nine months increased 2% to $83.1 million, as compared to $81.5 million for the same period last year. These increases were primarily due to revenue increases in Alarm Lock brand door locking products and Marks brand door locking products, as partially offset by a decrease in intrusion and access to long products. Of note is StarLink radio sales sequentially increased overall sales in Q2 by 2% and were 66% higher than such sales in Q1. Gross profit for the three months ended March 31, 2024, increased 24% to $26.5 million, with a gross margin of 54%. And that compares to $21.3 million, with a gross margin of 49% for the same period last year. Gross profit for the nine months increased by 47% to $73.9 million with a gross margin of 53% as compared to $50.2 million with a gross margin of 40% a year ago. Gross profit for recurring service revenue for the quarter increased 31% to $17.9 million with a gross margin of 92% that compares to $13.7 million with a gross margin of 90% last year. Gross profit for recurring service revenues for the nine months increased 28% to $50.1 million with a gross margin of 91%. And that compares to $39 million with a gross margin of 89% last year. Gross profit for equipment revenues in Q3 increased by 12% to $8.6 million with a gross margin of 29% as compared to $7.6 million with a gross margin of 27% last year. Gross profit for equipment revenues for the nine months increased by 113% to $23.8 million with a gross margin of 29%. And that compares to $11.2 million with a gross margin of 14% for the same period last year. The increase in both gross profit dollars and gross margin for recurring revenue for the three months and the nine months ended March 31, 2024, was primarily the result of the previously mentioned increase in recurring revenues, as well as a greater proportion of those revenues being generated by our StarLink Fire radios, which generate higher monthly service charges than the other StarLink radios. The increase in both gross profit dollars and gross margin for equipment revenues for both the three months and the nine months ended March 31, 2024, primarily resulted from the aforementioned increase in equipment revenues, as well as a favorable shift in product mix to locking products, which typically have higher gross margins than intrusion products. And another factor in the increased gross profit and gross margin for equipment revenue is there were lower costs of certain components this year as compared to last year when we were still feeling the effects of the global supply chain crisis. Research and development costs for the quarter increased 19% to $2.8 million or 6% of sales as compared to $2.3 million or 5% of sales for the same period a year ago. Research and development costs for the nine months ended March 31, 2024, increased 11% to $7.7 million or 6% of sales as compared to $7 million or 6% of sales for the same period a year ago. The increase for the three months and the nine months primarily resulted from compensation increases and additional staff. Selling general and administrative expenses for the quarter increased 10% to $9.2 million or 19% of net sales as compared to $8.4 million or 19% of net sales for the same period last year. Selling general and administrative expenses for the 9 months ended March 31, 2024, increased 6% to $26.3 million or 19% of net sales, as compared to $24.7 million, or 20% of sales for the same period last year. The increases in SG&A for the three months was primarily due to increases in legal expenses, as well as additional expenses relating to the enhancing of our internal control systems, and that was offset by decreases in advertising expenses. The increase for the nine months was primarily due to legal and accounting fees, as well as costs associated with enhancing our internal control systems. The decrease in SG&A as a percentage of net sales for the nine months was due to the increase in net sales being proportionately larger than the increase in SG&A expenses. Operating income for the quarter increased 38% to $14.5 million as compared to $10.5 million for the same period last year. Operating income for the nine months ended March 31, 2024 increased 115% to $39.9 million as compared to $18.5 million for the same period last year. Interest and other income for the three months increased 46% to $637,000 as compared to $437,000 last year. And for the nine months, interest and other income increased by [247%] (ph) to $1.8 million compared to $521,000 last year. The increases for both the three months and the nine months ended March 31, 2024, was due to increased interest income from certificates of deposits. The provision for income taxes for the three months increased by $507,000 to $1.9 million with an effective tax rate of 13%, and that compares to $1.4 million with an effective tax rate of 13% last year. And for the nine months, the provision for income tax has increased by $2.9 million to $5.4 million with an effective tax rate of 13%, and that compares to $2.5 million with an effective tax rate of 13% last year. The increase in the provision for both the three months and the nine months ended March 31, 2024 was due to increases in taxable income. Net income for the quarter increased 38% to a quarterly record $13.2 million, or $0.36 per diluted share, and that compares to $9.5 million, or $0.26 per diluted share for the same period last year, and that represents 27% of net sales. Net income for the nine months ended March 31, 2024 increased 119% to a nine-month record of $36.3 million, or $0.98 per diluted share and that compares to $16.6 million or $0.45 per diluted share for the same period last year and represents 26% of net sales. Adjusted EBITDA for the quarter increased 37% to a quarterly record $15.6 million, or $0.42 per diluted share, and that compares to $11.3 million, or $0.31 per diluted share for the same period a year ago, and equates to an adjusted EBITDA margin of 32%. Adjusted EBITDA for the nine-month ended March 31, 2024, increased 105% to a nine-month record $43.5 million, or $1.18 per diluted share. And that compares to $21.3 million, or $0.57 per diluted share for the same period last year, and it equates to an adjusted EBITDA margin of 31%. Now moving on to the balance sheet. As of March 31, 2024, the company had $87.5 million in cash and cash equivalents, other investments, and marketable securities, and that compared to $66.7 million as of June 30, 2023, and that's a 31% increase. The company had no debt as of March 31, 2024. Cash provided by operating activities for the nine months ended March 31, 2024, was $31 million. That compared to $12.4 million for the same period last year. And working capital as defined as current assets less current liabilities was $138.3 million on March 31, 2024, and that compared with working capital of $111.7 million at June 30, 2023. Current ratio, defined as current assets divided by current liabilities, was 7.9 to 1 at March 31, 2024, and 6.7 to 1 at June 30, 2023. And CapEx for the quarter was $361,000, and that compared to $1.7 million for the prior year period. That concludes my formal remarks, and I would now like to return the call back to Dick.
Richard L. Soloway : Kevin, thank you. Our fiscal year 2024 is going exceptionally well, with fiscal Q1, Q2, and now Q3 achieving record-breaking results fueled by recurring revenues enabled by our hardware innovations. It's also worth noting all our growth is organically driven. Recurring revenue continued its strong growth, increasing by 29% to Q3 and representing 40% of total company revenues and our net income of $13.2 million and adjusted EBITDA of $15.6 million. [We're] (ph) all quarterly record breakers. Equipment revenue improved, growing 5% over last year for the quarter, with gross margins on such sales increasing to 29% from 27% last year. Radio sales in Q3 improved over Q2, increasing by approximately 2% and 66% over the Q1 level. While such sales were still below the radio sales for Q3 last year, when the 3G Verizon Sunset was upon us, the increase over the last two quarters is a good sign. We expect radio sales to continue to be a key contributor to our hardware sales and continue to lead to the strong growth of our highly profitable recurring revenues. Gross margin for recurring revenues continue to get better, now at 92%. So 40% of our revenue generated a gross margin of 92%. That's an amazing stat and we are very proud of it. We are also very pleased with the increase in the recurring revenue annual run rate, which increased to $81 million based on April 2024 recurring revenues, compared to an annual run rate of $76.5 million based on January 2024 recurring revenues. Our Alarm Lock and Marks locking hardware lines continue to see growth in schools and classroom security, healthcare and retail loss prevention, as well as multi-family dwellings, commercial and residential applications, growing approximately 16% compared to last year and approximately 10% compared to Q2. Locking sales once again represented over 60% of hardware sales in Q3. We continue to remain focused on further penetrating each of these markets. Net income of $13.2 million, besides being a Q3 record breaker, represents 27% of net sales. Adjusted EBITDA of $15.6 million, also a Q3 record, represents an adjusted EBITDA margin of 32%. We believe we are well on our way to achieving our adjusted EBITDA margin target of approximately 45% on or about the end of fiscal 2026, as our targeted equipment sales reached $150 million and our recurring revenue service level reaches $150 million. Our balance sheet continues to get stronger with cash and cash equivalents, other investments, and marketable securities increasing 31% to $87.5 million as compared to $66.7 million at June 30, 2023. We have no debt, and the net cash provided by operating activities for the nine months ending March 31, 2024 was also strong, amounting to $31 million. There are millions of commercial buildings of all types, such as offices, hospitals, schools, coffee shops, restaurants, as well as residences that still require upgrades from legacy copper phone lines. Our StarLink line of radios have the widest coverage range of both AT&T and Verizon with rich feature sets, which our dealers really love. As we have previously stated, the constraints of the supply chain have abated, and we believe in the coming months and quarters that combined with new distribution sources we have developed will begin to invigorate our equipment sales and association margins to even higher levels than any time before. As we have stated previously, the higher -- the hardware sales, the more overhead absorption occurs in our Dominican Republic factory, and this expands our gross margins. And as indicated in this morning's earnings release, the company will be issuing a quarterly dividend of $0.10 per share to be paid on June 24, 2024, to shareholders of record on June 3, 2024. We are proud of this program as the Napco team has created such tremendous shareholder value over the years that this is another way for us to distribute profitable growth to our investors. Now some comments about the recent ISC West trade show we attended last month in Las Vegas, which attracted over 30,000 security professionals. These are dealers and installers and integrators to buy security products. Napco made a significant impact with our prominently positioned new booth designed and shown at the show entrance. The event was attended by key distributors, dealers, integrators, and competitors alike. Napco's management, sales leadership, and tech team left the conference with a positive outlook on our competitive position in the domestic security space. Our favorable impression was reinforced by Napco's innovative culture, ongoing new product development, strong brand identity, and the industry's steady growth trajectory. Customer interest levels peaked and Napco received a record number of sales leads, driven in part by the successful launch of several highly distinctive products, including Napco's popular Marks USA Panic Exit Hardware line, expanded to include lockdown models, the brand new NFC solution, i.e., our [locks] (ph) built-in access control readers for use with secure mobile credentials stored in the wallet, utility of users, smartphones, and one that got the most attention, the StarLink Fire Max 2, the next generation of our RMR, recurring monthly revenue, producing 5G commercial fire series alarm communicators. This solution addresses the transition away from vanishing POTS lines for millions of commercial fire alarm panels. The Fire Max 2 with its dual SIM technology, leveraging Verizon or AT&T signal strengths, allows dealers to streamline their inventory. The Max 2 boasts a true end-to-end UL864 listed solution featuring a UL864 listed triple protected network operating center headquartered in the US, for optimal response times. Also, Napco's Prima all-in-one system, launched late last year, continues to gain traction and excitement, extending beyond the traditional Napco dealer base. Prima now features more emergency condition detection and all weather cameras at a competitively priced price point enhancing both equipment capabilities and RMR potential. In the last nine months of fiscal 2024, we have generated strong sales and profitability. We believe we can continue this growth well into the future as we work toward our fiscal 2026 goals and beyond. I'd like to thank everyone for their support and for joining us in this exciting future we have. Our formal remarks are now concluded, and we'd like to open the call for the Q&A session. Operator, please proceed.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Matt Somerville from D.A. Davidson. Your line is open.
Matt Somerville: Thanks, good morning. Maybe first if we can talk about hardware gross margins. Nice improvement year-on-year, no doubt about it. They've been kind of flattish for the last three quarters. Can you maybe talk about what the catalysts are as we look ahead outside of just overhead absorption to get that margin kind of marching more prominently towards your longer-term projection there and then I have a follow-up.
Kevin S. Buchel: Okay, Matt, well the overhead absorption is a big factor. I don't want to diminish it, because in the past, it has led to our margins going from low to mid-30s to high-30s, low-40s. So it's significant when we put good numbers, strong hardware numbers on the board. But absent of that, the locking products, which now 66% of the hardware sales, that brings better margins than some of the intrusion products, like the radio products. Now granted the radio products lead to the recurring revenue, which is the best of them all, but on a pure hardware basis, the locking does better. And so we expect the locking products to continue to get stronger. Dick mentioned in his remarks some of the reasons why locking is strong. School security, airport infrastructure upgrades, projects that are going on in buildings, in hotel renovations. There's a lot of things going on that are contributing to locking. We have two locking companies. They're both operating really well, hitting on all cylinders, both of them at the same time. And so locking, which has been good, we expect it to get even stronger, and that should help margins even further. Those are probably the main reasons. The mix, more [locking] (ph), but don't diminish the overhead absorption. It's a big factor.
Matt Somerville: Got it. That's helpful, Kevin. Thank you. Can you maybe talk a little bit more quantitatively, or even just qualitatively, around the excitement or initial uptake you expect on Fire Max 2. I don't know if you can sort of talk about maybe how this product launch is faring versus the prior gen product launch and then similarly if you can talk about maybe some initial feedback you've had now that Prima's been in the market for the last couple of quarters, how you're feeling about uptake there. And when maybe we start to see some of the non -- some of the other businesses outside of fire really starting to drive that recurring revenue. Thank you.
Richard L. Soloway : The Max-2 is a product, when a fire alarm is installed in a building, the fire marshals in the commercial buildings want dual functionality of communications. So the way the radios that have been out there working is the dealer will select the AT&T or Verizon signal and also run a wire to connect to the internet for the second communications link. The Max 2 is very, very different because in a lot of cases it's harder for the dealers to run a wire and get into the Internet because these alarm systems could be in a basement area which is -- where there's no Internet close by. But we have this new UL dual AT&T and Verizon And one doesn't require any wire. Once whichever signal is stronger, that's the way the system will transmit the fire emergency or the check into the central station and uses only radio. So it's going to be a faster install for dealers. It's really unique and special. And we want to have the one and only radio that the dealers will use for all applications, and the MAX 2 will be it. They don't have to have any other models. They can use that. And that's a very, very profitable model, great recurring revenue to it. So we expect that -- that will continue making us the leader at 92% margins. You can see the deal is like our product line. So we expect to try to keep the margins as high as possible with that product line and sell more and more of them. When it comes to the Prima product, more and more adoption is going on, and it's starting to contribute. It is a unique product. It's a different type of product for us, because our typical alarm products are for more customization of residential and commercial. This product is for mass. It's a product that goes in very quickly. A salesman that sells the alarm job, both commercially, small commercially, or residentially, can actually install it himself. He doesn't need a crew. So he can sell the alarm system to the end user customer and put it in right away and start getting recurring revenue from it. And we get our recurring revenue from that installation. So it's a conversion process where there are thousands and thousands of companies that are using this type of mass alarm system. And we're picking up more share. And we saw a lot of interest. You were at the show. You saw it was right up front. You saw that there were many times during the day, I couldn't even see the carpet. There were so many people standing on it, looking at this alarm system that's been out now for a little while. But it takes time for dealers to get used to it, to talk amongst themselves, and start converting over to it. And it looks very, very good that this is the ongoing process.
Matt Somerville: Perfect. Thanks, Doug. Your next question comes from the line of Jim Ricchiuti from Needham & Company. Your line is open.
Jim Ricchiuti: Hi. Thank you. Good morning. I wonder if you would talk to us a little bit about how much of a contribution you saw from the new distributor in the quarter and maybe how you've seen this business scale over the next couple of quarters. And I have a follow-up.
Kevin S. Buchel: So ADI, the new distributor, is doing well with us. ADI has the potential to be doing a lot more. They're the largest distributor of security products in the industry. There are companies that have more volume, but nobody has more security sales than them. So the potential is big. We've seen nice growth, we're only dealing with them a few quarters, each quarter better than the preceding one. And they've made introductions. This is a very important point. They've made introductions to several large dealers that exclusively deal with them, who we've been trying to have a relationship with. And [other than] (ph) is Securitas, the big name, maybe the second largest dealer out there. Thanks to ADI, we have a relationship now with Securitas. So not only does ADI help us with pure sales numbers, but making intros to dealers is a key part. And we expect the business to keep going up. It's just the beginning. It's not a situation where we loaded up all 115 branches, make a big splash, did it systematically, slowly. We expect it to keep growing as each quarter progresses.
Jim Ricchiuti: Kevin, on some of this new potential business that you're seeing out there, can you talk to us about the type of business this is? Is this more in some of the areas that you guys are historically very strong in, for instance in the fire radio business, maybe just some sense as to where you see inroads with some of these new dealers, potentially large ones.
Kevin S. Buchel: Yeah, so the large, we've talked before about some of the large dealers that we've picked up over the last several quarters. And Fire radios, is the biggest one that they're all interested in. We actually took one of our top sales guys and made him the head of national accounts because we're picking up more and more of these large dealers. And this gentleman's mission with us is to nurture these relationships. We want to sell not only more fire radios, we have a whole line of products. We want to sell them all of our products. So it's starting out with fire radios, the expectation it's going to expand to other things, and we've actually added another salesperson to assist this guy. So now there's two of them whose job and whose mission is manage and nurture and expand these very large dealers that we now have a relationship with. Thanks for that.
Jim Ricchiuti: And Kevin or Dick, just wanted to follow up with the organizational changes that were announced last week. And I guess the question is, do you foresee the need at some point to add additional resources to senior management with Kevin, the fact that you're now assuming dual roles as president, CEO, and your ongoing CFO role.
Richard L. Soloway : What's going to happen with us is that, as we said, we keep looking for additional people to help grow our business. Kevin and I have been working together for 30 years and we make a great team and we have additional people in the senior management with our company that have been with the company for 25 years. That know the business inside [of Napco] (ph). And we have a bench, a lot of bench strength. We have [10 years] (ph) that have been with the company. People like working at Napco. We have very little turnover. We get the right type of person. That person stays with us for his career. We like to promote from within rather than going to the outside. Just like when we grow our business, we like to grow our business through organic means. We find it's the most efficient way. And when we bring people up within the organization, it's the most efficient way. They know the culture. They know the other players in the company. So we have a nice bench strength of at least eight managers that know all of the different divisions products, all work together in a team. We do meetings on a regular basis every single week. So we have a very, very strong structure for growth. The way we're moving along now, you can tell that the numbers compared to the competition are doing much better in growth and ratio of profitability. So I think we got the right combination of doing things.
Jim Ricchiuti: Well, Kevin, congratulations on the appointment and to the team on the quarter.
Kevin S. Buchel: Thanks, Jim.
Operator: Your next question comes from the line of Jaeson Schmidt from Lake Street Capital Markets. Your line is open.
Jaeson Schmidt: Hey guys, thanks for your time and questions. Kevin, just curious if you could share with us some of the sell-through metrics at the distributors. And I guess relatedly, sort of that high-cost inventory issue that impacted previous quarters, do you think that's completely worked through now?
Kevin S. Buchel: I'll start with the second part first. So the high cost inventory at the distributors, because it's twofold, it's at the distributors. And also we have some with Napco. At the distributors, it's mostly solved. We have talked about how there are two distributors with too much radio inventory, one completely solved, the other mostly solved but not 100%. Probably a few hundred thousand dollars left of what they consider excess radio inventory. We'll keep trying to help them work through it and it'll be gone probably by the end of the fiscal year, is our belief. Then you have the situation where we have some excess radio inventory. Remember we built a lot of inventory in anticipation of the sunset. Sunset came and went. We had some extra. We're working through a lot of that, too. The Radio demand is big, especially on fire radios. So we expect that to be a non-issue over the next, I'm going to say six months. We want to -- our inventory, we haven't talked a lot about it, our inventory has been coming down. Our cash flow is great, but we still want to [ring-out] (ph) probably another $10 million from our inventory. And it will come from different areas, but radios is one of them. We expect to sell a lot more radios in the next six months. We've been doing great. We expect to sell even more. Demand is huge. We have all these big accounts now that have become customers. That's part of why we think we are going to move a lot of the radio inventory and that's going to lead to the continuation of the recurring, grew by 29% which was nice, it's been growing by 25%, now it grew by 29%, and a lot of it is Fire. And Fire has the great margins and that's why it was up to 92%. On sell through stats, we don't really disclose a lot of that, but I can share with you that on a sequential basis, the intrusion sell-through stats showed an increase of 13%. And that's very important. So that's the division that sells, among other things, the radios. And having a sequential increase of 13% seems to me that that'll bode well for that division as we head into our best quarter, historically, our fourth quarter. You know, typically, our fourth quarter has always been the best. So if that pattern continues, the one that we're in now would be the best. And it's important that we're seeing not only the locking, which we've talked a lot about how great it's doing, but I like seeing a sequential increase on the intrusion side of 13%.
Jaeson Schmidt: Okay, great. Appreciate that, color. I'll jump back into queue. Thanks a lot, guys.
Kevin S. Buchel: Thanks, Jaeson.
Operator: Your next question comes from the line of Lance Vitanza from TD Cowen. Your line is open.
Lance Vitanza: Thanks, guys, for taking the questions. Congratulations on a nice quarter. Most of my questions have been answered, but I guess on the balance sheet, this clean balance sheet that you have, it looks a little bit like an underutilized asset, provides a lot of optionality. I'm not sure investors are giving you much credit for that. The question is, are there opportunities to perhaps add a little leverage, maybe $50 million or so, for some sort of strategic transaction? Or is that [anathema] (ph) to sort of your sort of strategy for maintaining the operational flexibility going forward? Thanks.
Kevin S. Buchel: There are possibilities that an acquisition of a product that could be tucked into our product line, of which it has to have a nice volume to it that our dealers use all the time. We don't want to do anything that's outside of our wheelhouse. So there is some possibility of that. It's not a front burner situation, but it is a possibility. We continue to build cash because we like to have enough cash. You never know what the opportunities are going to be like. We like to also issue the dividends as payback to the investors that have been supporting us. So that's basically the way we're going right now. But it's a high-class problem that we are addressing.
Lance Vitanza: Thanks very much.
Kevin S. Buchel: Thanks, Lance.
Operator: Your next question comes from the line of Raj Sharma from B. Riley. Your line is open.
Raj Sharma : Hi. Thank you for taking my questions. Congratulations on the excellent continued growth and also on the recurring side. On the equipment side, I had a question for Kevin or Dick. The alarms picked up sequentially 2%, and the year-on-year was down 12% for the intrusion access alarms. It's great to hear that the sell through the dealers is up sequentially 13%. I just wanted to understand going forward you're saying you see growth pick up from the Fire Max 2 and from picking up share with the new dealers. When should we see this pick up? In the first half of fiscal ‘25 or second half or...
Kevin S. Buchel: Well, our hope and expectation, Raj, is we can start seeing it potentially in this Q4 that we're in now. The fact, there's two factors. One, the comps are much easier. Q4 last year was in a difficult comp. That combined with the sell-through stats that I referred to earlier, it bode well for an increase in the intrusion segment, as we enter next fiscal year, more things should kick in. You should have contributions from the large dealers. You should have contributions from MAX, MAX 2. You should have contributions from Prima. These are all things that we expect is going to help that division to much better than it's been doing. And it's been doing well. It's like the unsung hero because the radio that it's contributing, while not at the same level as what they were in the height of the sunset, they are bringing -- those are the radios that are giving us this phenomenal recurring and the 92% margin. So it's doing great. It's going to do even better.
Richard L. Soloway: At the show, what we saw was a lot of activity around our fire panels because we also make a fire alarm system, a couple of them for commercial jobs, so the radio has built in. A lot of interest in that – so fire business is very important. And as we've been talking about the fire business is a legislative business. It's a very stable growing business. The fire marshal makes sure that all the commercial buildings in their territories all around the United States, have working fire alarm systems that communicate regularly to the central station, the [TeleCentral] (ph) that they're working. So it's a legislated in business no matter what's going on in the economy, the business, if the building is open, you have to have a working fire alarm system. And we have millions of these buildings that either need to have an upgrade to their communications, which is away from copper or new construction, and there are lots of cranes all over the USA, putting up new buildings and they need fire alarm systems from complete. That's the panel and the smoke detector, the carbon oxide detector, and we have a fantastic, fantastic offerings for the dealers to do new work. So it's all the replacement work for copper and the new work, and it's very exciting. Also our goal long term over the next few years is to get recurring revenue Raj from all of our other hardware products. because we want the locksmiths and door specialty companies to be in the same mode as alarm dealers where they get recurring revenue accounts. Locksmith just do a job and they move on. But there are ways that we are working on products with them, so that they get recurring revenue. And because we're a technology company compared to other hardware manufacturers, there's a lot of -- there are other hardware guys that have been there this for 100 years, but they don't know about recurring revenue and network operating centers and UL864 approvals, we know all that. So that's going to be very important for the future. It's going to continue our growth. We've now had -- Kevin, was it 13 consecutive quarters of growth?
Kevin S. Buchel: 14.
Richard L. Soloway : Right. And prior to COVID, we had a [23] (ph).
Kevin S. Buchel: I was track, I know we’re on our way to (inaudible) that I had to remember.
Richard L. Soloway: 23.
Kevin S. Buchel: 23. So our goal is to keep the streak up, hit that 2026 numbers and have that EBITDA of 45%. And that's it. We love to grow this business organically. But as I said, if an acquisition came around, which would be something that dealers would use regularly every day, like they put in our other products. That would be a nice tuck-in. We bring it in to our Dominican Republic, which has capacity to do $300 million, $100 million per shift, and we have room for another building alongside of it to do another $300 million -- it's a great place to manufacture. And we're very, very integrated, as you know, where we do all our engineering in-house. We don't farm it out, our own manufacturing in-house and have capacity. So the future is very bright for us.
Raj Sharma : Great. Well, thank you. Very helpful. Thank you I’ll go offline.
Kevin S. Buchel: Thanks Raj.
Operator: [Operator's Instructions] There are no further questions at this time. I will turn the call over back to Mr. Soloway.
Richard L. Soloway : Thank you, everyone, for participating in today's conference call. As always, should you have any further questions, please feel free to call Fran, Kevin or myself for further information. We thank you for your interest and support, and we look forward to speaking to you all again in a few months to discuss Napco's fiscal Q4 and full year results. Have a wonderful day. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect.